Operator: Good morning. And welcome to the Turning Point Brands Third Quarter 2022 Earnings Conference Call. All participants will be in the listen-only mode. All lines have been placed on mute to prevent any background noise. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. Please note that this event is being recorded. I would now like to turn the conference over to Louie Reformina, Chief Financial Officer. Please go ahead.
Louie Reformina: Thank you. Good morning, everyone. This is Louie Reformina, Chief Financial Officer. Joining me are Turning Point Brands’ President and CEO, Graham Purdy and Chief Marketing Officer Summer Frein. This morning, we issued a news release covering our third quarter results. This release is located in the IR section of our website, www.turningpointbrands.com. There is also a presentation which we will be referencing on the call available on the site. During this call, we will discuss our consolidated and segment operating results and provide a perspective on the operating environment and our progress against our strategic plan. As is customary, I direct your attention to the discussion of forward-looking and cautionary statements in today's press release and the risk factors in our filings with the Securities and Exchange Commission. On the call today, we will reference certain non-GAAP financial measures. These measures and reconciliations to GAAP can be found in today's earnings release, along with reasons why management believes that they provide useful information. I will now turn the call over to our CEO, Graham Purdy.
Graham Purdy: Thank you, Louie. Good morning, everybody, and thank you for joining our call. For those of you that don't know me, I may be new to the CEO job, but I'm not new to this industry, Turning Point Brands or its people. After spending seven years at PM U.S.A., I joined the company in 2004 as Trade Marketing Director. Throughout the years, I've had many roles, including head of Field Sales, and New Venture Divisions before taking on the CEO role in 2019.  In that role, I oversaw repositioning of the company and initiatives that have led to accelerated growth. This included, growing Zig-Zag segment sales from $109 million in 2019, to approximately $190 million we're projecting this year. Over my time at the company, I've worked across numerous functional areas and developed strong relationships with talented colleagues throughout the organization. I'm excited by the opportunity to lead the team as we continue to build a world-class CPG company for the benefit of our customers, employees and shareholders.  Before Louie and I go into the recent quarter, I'd like to take a step back and frame my perspective on the Turning Point story and drive home why the team and I are excited by our future. First, Zig-Zag is the number one rolling paper brand in North America. Our portfolio of Zig-Zag products continues to indirectly benefit from cannabis legalization as a leading non-plant touching way to capitalize on this long-term trend. Today, roughly 70% of states have legalized cannabis in some form, either medical or recreational, and roughly 45% of the U.S. population lives in a legal recreational market. And that number is expected to grow in the coming years.  One only has to look at the stats just three or five years ago to appreciate how far we've come. I believe we have reached a critical tipping point where Zig-Zag is a must carry item given its brand strength and product innovation, which is further enhanced by our deep industry relationships. These secular tailwinds, along with all our growth initiatives and new product and multi-channel strategies that help drive our projected sales this year to be more than 70% higher than they were in 2019.  Despite this growth, we're not resting on our laurels. In recent years, our team has worked hard to re-energize the Zig Zag brand by introducing new products, such as cones in 2019, natural leaf wraps for apps at the end of 2021, and rough cut cigars in 2022, penetrating new alternative distribution channels such as e-commerce, dispensaries, and bringing on new exclusive products like CLIPPER lighters.  We're embracing our brand's iconic 150 year history with new marketing initiatives to reinforce direct consumer connections as the industry evolves. You should expect us to lean into that strategy with a particular focus on one, serving the alternative channel, which we define as direct-to-consumer head shops, smoke shops, dispensaries, and direct bulk paper cone sales to operators; and two, driving exclusive products like CLIPPER through both the alternative and traditional retail, where we already have a strong presence.  On CLIPPER, it's important to note this brand is relatively underdeveloped in the U.S., yet has a much larger share in Europe where it originated. While it's still early in our brand stewardship of CLIPPER, we see an immense white space in the U.S. to close that gap in a $500 million category.  Coming back to today, all of you are aware that the overall economy has softened as we progress through the year. Inflation has put pressure on consumer wallets, and we have returned to more normalized buying patterns post-COVID. Today's environment is particularly challenging given we haven't witnessed this inflationary environment in many decades. As a result, projecting Zig-Zag segment results has been more challenging in 2022 than in the past. This is reflected in the revised guidance we gave last week.  Notwithstanding these headwinds, we still expect 7% annual growth for the Zig-Zag segment at the midpoint of the revised guidance. That said, I'm confident in the strength of our brand, the effectiveness of our team and our core strategic initiatives that will drive profitable future growth.  Next, Stoker's. Our Stoker segment is strong and continues to grow. I firmly believe we're still in the middle innings of the strategy I helped to put in place many years ago to increase distribution, grow market share, and position the brand to be a leading MST player focused on the value consumer. I was also overseeing the sales operation when we introduced cans, which allowed us to penetrate large chains leading to significant growth. I believe we still have meaningful runway to grow stores, and we're uniquely positioned in an industry with favorable pricing dynamics.  On the loose leaf side, many of you who have followed us or the industry are aware that this category has been seeing volume declines for over 30 years. Despite that, the business remains highly profitable and has generated stable free cash flow for market share gains and pricing, which we are deploying in part to support new initiatives such as the recent free launch in the modern roll category. This should allow TPB to participate in the growing $1 billion white pouch category that leverages our existing infrastructure.  In rapidly expanding markets such as modern roll, we don't need to be the biggest, or spend the most to generate significant value for shareholders. We prove this with our rollout of Stoker's MST. But let me be clear, we are still in the very early innings with free and other growth initiatives. Every launch must walk before it runs and I will be highly judicious about deploying capital and internal resources to ensure we're focused on the right opportunities to create the most value.  Next NewGen, while we continue to monitor the regulatory backdrop, most of it is out of our control. Despite the regulatory disruption in this segment, as we navigate the process, we've maintained profitability and continue to explore ways to maximize the value of the strategic distribution asset we have built. While I'm optimistic we'll eventually get resolution that should benefit TPB, we are committed to finding a solution that reduces the volatility we have experienced in recent years.  Last, let me address some of the technology investments, such as our ongoing ERP and CRM implementations. We are on track and on budget to position TPB for the future, which I believe to drive substantial efficiencies. We are scheduled to complete the design phase of our ERP implementation next month and will give further details on cost when that is completed. However, from what we know today, I'm pleased that the projects are tracking within our initial expectations.  As we focus on our core business, I wanted to address some of the questions we've received over the past year regarding our M&A strategy. It's not lost on anyone that tighter financial market conditions, coupled with an uncertain economic environment have made it more difficult to execute accretive transactions. The way I see it, every dollar we spend will be highly scrutinized versus our internal hurdle rate. The bar for synergistic M&A will be high, especially in context of alternative uses, like returning capital to our stakeholders.  In summary, we are hyper-focused on our existing businesses, led by world-class brands and extensive distribution capabilities, coupled with a dedicated team committed to our success. I'm confident that TPB will continue to generate attractive, durable free cash flow that we will deploy to increase shareholder value. As you may know, I personally am a large shareholder with a disproportionate amount of my assets tied to the success of this company. So I'm highly aligned and incentivized with all of you to make this happen.  Thank you to the TPB team for this opportunity, and I look forward to future updates to give more color on our progress.  Turning now to the specifics of the quarter. We were satisfied with the resilience of our businesses during the quarter. But as mentioned, the consumer economy is clearly becoming more strained as the year progresses with ongoing pressure from inflation, which is impacting consumer traffic and spending in our channels.  Zig-Zag posted a record quarter with paper cones and alternative channel sales, including e-commerce continue to be key drivers of growth. We also had a strong uptake from promotions implemented at the end of the quarter to respond to the current consumer environment. Adding to growth for the quarter, where the initial sales from the launch of CLIPPER lighters, which so far has been very successful.  Our sales force has started rolling out distribution and CLIPPER lighters into independent convenience stores in late July, and we have physically been placing CLIPPER into an average of 1,000 new stores per week ending the quarter with over 8000 new retail points of distribution, in addition to selling into new wholesale distribution customers to support the rollout.  CLIPPER is the world's number one reusable lighter and is the lighter of choice for environmentally conscious consumers, wholesalers and retail customers. We will continue to grow this business and are excited about the initial reception from our trade partners.  Stoker's delivered another solid quarter, highlighted by strong double-digit growth in MST as we continue to gain share in both MST and loose leaf categories. NewGen navigated another challenging quarter, but remain profitable despite a 40% decline in sales year-over-year. Notably, sales were down just 4% sequentially over Q2.  As disclosed last week, we did revise their guidance for the year. Despite strong outperformance relative to the market in the third quarter, we believe it is prudent to adjust our outlook in light of the current macro environment and sales that we believe were shifted from Q4 to Q3. Going forward, I remain bullish on our growth prospects and I'm very excited to lead our team to focus on driving organic growth and creating shareholder value.  With that, let me turn the call back over to Louie to go through our results.
Louie Reformina: Thank you, Graham. Starting with our consolidated results. Despite 17.7% growth from the Zig-Zag and Stoker's segments, overall Q3 sales were down 1.9% to $107 million, impacted by NewGen which had a 40% year-over-year decline but it's been relatively stable sequentially this year, and harsh facing less challenging concepts we exit the year.  Gross Margin decreased 50 basis points to 48.9% driven by product mix in each segment. Adjusted EBITDA was down $1.8 million year-over-year, with a decrease coming from the decline in our NewGen distribution business. Both Zig-Zag and Stoker's segment profitability grew from the previous year.  Going into segment performance, Zig-Zag sales increased 23.3% year-over-year to $52.1 million with 21.7% from volume and 1.6% from price mix. Wraps revenue was down 3% year-over-year due to a category decline as we adjusted a new normal of post-COVID consumer consumption. Despite the category declines, Zig-Zag continues to grow share.  Our U.S. Papers and E-commerce business was up 19% year-over-year driven by the growth in E commerce and paper cones. Canada was up 30% during the quarter with solid growth aided by $1.5 million of orders pulled forward from Q4. The cigars another subcategory grew dramatically off of the low base due to the CLIPPER launch. For the overall segment, we estimate that strong promotional uptake and the timing of Canadian deliveries, pull forward approximately $5 million of sales from the fourth quarter.  Gross margins declined to under 20 basis points during the quarter during primarily by the CLIPPER launch and higher growth in lower margin products like paper cones. Operating margin declined 450 basis points for the quarter, due to the gross margin decline, variable costs are increased B2C e-commerce sales, increased TPB Canada SG&A and the reallocation of segment costs. The fundamental long-term drivers for this segment remain intact as cannabis legalization continues to drive growth in the all channel and CLIPPER penetration provides further tailwinds.  Moving to Stoker's. Stoker's products net sales increased 10%, to $33.5 million in the quarter with 2.4% volume growth and 7.6% price mix increase. Net sales for the MSP and pre-portfolio grew 18%. Stoker's volume was up 3.1% as its share grew despite category volume down 5.7%, with its share increasing 50 basis points year-over-year to 6.2% during the quarter according to MSAi. Its share in store selling was up 60 basis points year-over-year to 9.7% with Stoker's now in stores representing 64% of industry volumes, which still provides a long runway for growth. Free with a marginal contributor to the segment sales during the quarter.  Tobacco to sales declined 4% from the previous year. Stoker's Chew was the number one chewing brand in the quarter gaining 270 basis points of share to 28.4% share. According to MSAi. Category vine was down 7.6% during the quarter according to MSAi, with TPB's products performing better. With a heightened inflationary environment Stoker's performed well as value proposition products resonated well with consumers.  Gross margin decreased 160 basis points primarily due to mix for free and stronger growth in discounted loose leaf products. operating margin decreased 300 basis points due to the gross margin decline, higher sales and marketing costs and increased shipping costs.  Moving to NewGen, where we continue to manage the disruptive environment with sales down 40.3% from the previous year to $22.2 million. Our third-party distribution business continues to be disrupted by the regulatory environment as previously mentioned. Gross margins were down 740 basis points year-over-year, impacted by product in channel mix, in addition to the competitive environment. Operating income was down $1.9 million due to lower sales, offset by lower variable SG&A and reallocation of shared costs into the corporate segment. The business remains profitable despite the challenging environment.  Moving to our balance sheet. We ended the quarter with $105.7 million of cash and $127 million of available liquidity providing flexibility on capital deployment. We repurchased 7.6 million of shares during the quarter.  On to guidance, as discussed in last week's press release, we now expect the following results for the year. Zig-Zag product sales of $186 million to $191 million compared to previous outlook $193 million to $200 million, which represents 7% year-over-year growth at the midpoint. Stoker's product sales of $128 million to $232 million compared to previous outlook $127 million to $133 million, which represents 5% year-over-year growth at the midpoint, consolidated adjusted EBITDA of $96 million to $99 million, compared to previous outlook of $97 million to $103 million.  We continue to expect CapEx to be up to $10 million this year, this excludes ERP and CRM projects. And PMTA spend on supplemental filings for new products, including our free nicotine pouch to be up to $6 million.  Thank you for participating in the call today. And with that, I would like to open the call up for questions.
Operator: [Operator Instructions] Your first question comes from the line of Vivien Azer from Cowen. Your line is open.
Vivien Azer : Thank you. Good morning, and congrats Graham on the new roll. I think it's really encouraging for everyone to hear your commitment to organic growth, perhaps a more tempered approach to M&A and your commitment to shareholder returns. With all of that said, I think your deep experience in tobacco is a real asset to the organization, especially now. So, I'd love to hear your thoughts on how you think about Stoker's pricing relative to the competitive environment. Thank you.
Graham Purdy: Yeah, thank you very much for the kind words, Vivian. Look, I think that we have a lot of favorability relative to pricing with our MST business. We're certainly a price follower, and we're committed to follow in the industry. I think it's important to note that we've mentioned in the past that this concept of sort of closing the gap with premium brands. In Q3, we actually took a little opportunity on our Stoker's Tubs to do just that.  So we're starting to actualize what we've been talking about for many years. But I think the tailwinds around pricing are great, but at the same time we're still only in just over 60% of the addressable market. So one of the largest opportunities of the company has to continue to focus on gaining more stores where we don't compete, because it's source of brand new volume for us.  And at the same time, we're committed to growing share in the existing stores around. So I think we've got three really good levers of future growth for our MST business.
Vivien Azer : Absolutely. That all seems perfectly reasonable. Louie, maybe pivoting to the model a little bit. I was hoping to unpack some of the gross margin compression in the Zig-Zag segment for instance, you out -- in sorry, I believe there's another -- the lighters, excuse me, as the gross margin, can you maybe just dimensionalize those two headwinds? Which was the bigger, anything there?
Louie Reformina: Yeah. So CLIPPER was a large headwind for us, kind of thinking about the impact. We said a lighter market before, there's about a $500 million market and CLIPPER historically, that 3% share. And we're going to ramp up that business. And what we've said before in our third-party products is it's generally 20% to 40%. Gross margins, I would say with CLIPPER, our planning right now is to become the midpoint of the lower end of that as we try to gain distribution in the short term. And, hopefully be able to scale that gross margin over time.
Vivien Azer : Understood. That's really helpful. And then perhaps just lastly, on the Stoker's segment, kind of things, you will update on free, which would do called out but didn't disclose from a revenue perspective. so if you can offer any color there, that would be great. And then just kind of the contributions to market headwinds from this kind of use these products, please. Thank you.
Graham Purdy: Yeah. So we're trying to limited disclosure for competitive reasons on it. But I would say it would free would disclose the first half revenue on it. And I would say it was consistent with first half levels. We don't really expect free to ramp for us until next year.
Vivien Azer : And on the gross margin thing?
Graham Purdy: Yeah, free is running below current segment gross margins. So right now, it's similar to kind of the range that I mentioned, the CLIPPER. And as we scale that business, and as we scale the supply chain, we expect to ramp up that gross margin over time.
Vivien Azer : Understood and sorry, I pressed the issue this is, I promised the last one, but of the 160 basis points was free the bigger headwind versus the discounted loose leaf?
Graham Purdy: Yes. 
Vivien Azer : Okay. Thank you. 
Operator: [Operator Instructions] Your next question comes from the line of Eric Des Lauriers from Craig-Hallum. Your line is open.
Eric Des Lauriers : Great, thank you for taking my questions. And congrats again, Graham. 
Graham Purdy: Thanks, Eric. Appreciated. 
Eric Des Lauriers : So you mentioned wraps within Zig-Zag sort of facing some, not necessarily headwinds, but just some negative growth after the COVID, sort of boom last year. As you look at the macro environment now, and maybe coupled with that sort of COVID overhang, which of these Zig-Zag sort of sub-segments, are you noticing, perhaps facing greater headwinds than others? Just wondering if you could kind of comment on the Zig-Zag sub-segments, sort of in light of the macro challenges that you guys are seeing. If there's any trends kind of popping up for one or the other? Thanks.
Graham Purdy: Sure, yeah. I think if you look at the sub-segments, with papers, we have a nice offset, because we are growing our business in the alternative channel and gaining a lot of share there. So our e-commerce and paper cones business or continue to be strong for us, during the quarter from a growth perspective, outpacing that sub-segments growth.  On the wraps, we don't have as big of an offset, just because with our tobacco wraps, it's not really sold in dispensaries without tobacco licenses. So, I think there's -- we are seeing the impact, or just because that is primarily sold in the measured channel, where we've seen some inflationary pressure, especially kind of the gas stations through the year. But we think we were normalizing in terms of consumer demand patterns now post-COVID.
Eric Des Lauriers : Okay. So maybe it's kind of safe to say that you're seeing similar, maybe macro headwinds, or dynamics for the sub-segments, but perhaps a difference in the traditional versus alternative channel, just that increase in penetration, they're helping offset some of those headwinds? 
Graham Purdy: Exactly. 
Eric Des Lauriers : Yeah. Okay. Great. That's helpful. And then on NewGen. So obviously, the regulatory uncertainty remains uncertain. I was wondering if you could give us a bit more insight into the CapEx spend that you have ongoing for those PMTA applications? And perhaps any sort of indication on timing there. When you expect to to have that wrapped up, versus when you might expect to hear back from the FDA? Obviously, that's a bit more uncertain there?
Graham Purdy: Yeah. So we continue to monitor the situation with FDA and specifically as it relates to capital deployment on PMTAs. I think it's sort of important to note that, at this point in time we've submitted multiple fulsome applications. And we're in a position where we will continue to supplement on an as needed basis and supplement where we believe that future value can come from.
Eric Des Lauriers : Okay, great. All right. That's it for me. Thanks, guys. 
Graham Purdy: Thanks, Eric.
Operator: There are no further questions at this time. Mr. Graham Purdy, Chief Executive Officer, I turn the call back over to you.
Graham Purdy: Yeah. Thank you so much, operator. Really appreciate everybody joining the call today. We're really excited about the future here at TPB. And we'll talk to you all next quarter.
Operator: This concludes today's conference call. You may now disconnect.